Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Arconic Corporation Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions]  It is now my pleasure to introduce Director of Investor Relations, Shane Rourke.
Shane Rourke: Thank you, Andrew. Good morning, and welcome to the Arconic Corporation's Fourth Quarter 2021 Earnings Conference Call. I'm joined today by Tim Myers, Chief Executive Officer; and Erick Asmussen, Executive Vice President and Chief Financial Officer. After comments by Tim and Erick, we will have a question-and-answer session. For those of you who would like to follow along with the presentation, the slides are posted under the Investors tab on our website. I would like to remind you that today's discussion will contain forward-looking statements relating to future events and expectations. You can find factors that may cause the company's actual results to differ materially from the projections presented in today's presentation and earnings press release in our most recent SEC filings. In addition, we've included some non-GAAP financial measures in our discussion. Reconciliations to the most directly comparable GAAP financial measures can be found in today's earnings press release and in the appendix in today's presentation.  With that, I'd like to turn the call over to Tim.
Tim Myers: Thank you, Shane, and good morning, everyone. Thank you for joining us again. I'll start on Slide 4 with some highlights from a very strong first year, despite the challenges of a variety of headwinds. In 2021, we grew adjusted EBITDA by 15% over 2020 and set the table for another year of double-digit growth in 2022. We won favorable long-term business in key end markets, and we deployed hundreds of millions of dollars to reduce liabilities and repurchase shares. Our EBITDA growth in 2021 was primarily driven by double-digit organic revenue increases in ground transportation, industrial and packaging. This more than offset a 30% year-on-year decline in our organic aerospace sales. Throughout the year, we optimized our product mix to account for changes in automotive demand related to semiconductor shortages and changes in staffing availability due to the pandemic. Earlier in the year, we announced $2 billion in contract extensions with key aerospace customers and another $1.5 billion in agreement with can makers that secured our return to the North American packaging market. We also won content on 23 new automotive or light commercial programs, including 7 full electric vehicles. And we executed on a capital allocation strategy that reduced our gross liabilities by roughly $2 billion and net liabilities by approximately $700 million through a combination of accelerated pension funding, exceptional management of our environmental liabilities and a $1 billion pension annuitization. These actions significantly reduced our risk profile and positioned us for much higher cash generation moving forward. We also repurchased about $160 million of our stock and initiated 2 organic capital projects that will help drive EBITDA growth starting in 2023. All of these actions and wins in 2021 are setting us up for a second year of double-digit adjusted EBITDA growth in 2022, a big step-up in free cash flow generation and a continuation of our momentum into 2023 and beyond. Moving to Slide 5. I'll provide some details on the fourth quarter. Our fourth quarter 2021 adjusted EBITDA of $175 million increased $24 million or 16% year-over-year and was up 2% sequentially. Profitability increased despite labor shortages related to employee quarantine levels that reached new pandemic highs by the end of the year. We also had a brief equipment fire at one of our North American rolling facilities that reduced our total volumes for the quarter versus expectations. These challenges caused us to deliver fourth quarter results at the low end of the guided range. We continue to take action to offset inflation in alloying materials, energy prices and freight costs by increasing prices and driving productivity measures. Most importantly, the markets we serve remain strong. We had year-over-year organic growth across the business in the fourth quarter and continue to expect all of our markets to grow at a multiple of GDP over the next several years. Thanks to the actions that we took throughout 2021, we've significantly strengthened our balance sheet and created a strong platform for capital allocation options heading into 2022. As an example, in the fourth quarter, we repurchased another 1.8 million shares for approximately $55 million, bringing our buyback total to nearly 5 million shares for approximately $160 million in the first 8 months of our 2-year $300 million authorization. And as Erick will assume share, just yesterday, we upsized our ABL by $400 million. As we've been saying for a while now, free cash flow is stepping up in a big way this year, that we'll open the door to more return-seeking capital allocation opportunities, that includes the organic investments we've already announced and the potential for additional share repurchases as well as other capital allocation options. And as always, we'll continue to rank those opportunities by the rate of return and work our way down the list. Moving to Slide 6, I'll provide more detail on how we performed across our markets. Let's start in the bottom right corner of the slide. In the fourth quarter, we grew organic revenue year-over-year in every single end market. Ground transportation sales increased 12% organically from the fourth quarter of 2020 due to growth in both automotive and commercial transportation, despite the impact of the semiconductor chip shortage. Our share gain in this segment allowed us to grow our automotive sales, which swim against the current, growing 18% year-on-year, while automotive production builds were actually down 15%. I'll be coming back to this part of the business later in the call when we start to talk about the future. Led by our continued share gain, outpacing vehicle builds, depleted inventory levels and pent-up consumer demand, we expect to see continued growth in ground transportation for the next several years. Fourth quarter sales in the industrial market increased 17% organically year-over-year. The Industrial segment was strong for us all year, and we expect to see this momentum continue into 2022. In the building and construction market, our sales increased 9% organically year-over-year and 2% sequentially. Broader trends in the building construction markets are solid despite supply chain and labor challenges that our customers are facing in meeting that demand. Our packaging -- sales in our Packaging segment surged 54% organically year-over-year in the fourth quarter due to the accelerating ramp-up of volumes at our Tennessee facility as well as continued strength in Russia and China. And finally, aerospace sales were up 19% year-over-year on an organic basis and 11% sequentially. As we stated previously, our aerospace sales reached a bottom in the fourth quarter of 2020, and we expect to see continued growth until our revenues reach pre-pandemic levels sometime in the 2024 time frame. The 11% sequential improvement in the fourth quarter is an acceleration of the sales improvement that we saw in prior quarters, a clear sign that destocking in the supply chain has improved significantly. The fourth quarter showed just how strong the markets are that we serve in the face of supply chain and labor constraints. And as those constraints ease, our profitability and our growth will continue to improve. I'm now going to turn it over to Erick to discuss the fourth quarter results in more detail.
Erick Asmussen: Thanks, Tim. I'll start on Slide 7 with our fourth quarter financial highlights. Revenue in the fourth quarter was $2.1 billion, up 13% from the prior quarter and up 19% organically year-over-year. Net loss for the quarter was $38 million. This included an after-tax noncash goodwill impairment charge of $65 million related to our Extrusion segment. This impairment was primarily driven by a combination of market-based factors including delays in aerospace market improvement and significant cost inflation. Adjusted EBITDA was $175 million, which was an increase of 16% year-over-year and 2% from the prior quarter. Free cash flow for the quarter was $35 million, which was lower than we expected. This was impacted by higher inventories at year-end resulted in 3 main factors. First, we again had to pivot from automotive to industrial and this takes time. Second, as Tim mentioned, we had a production disruption from a small fire at our Tennessee location. And lastly, we again saw an increase in employee quarantines related to the pandemic, which I will discuss more in the coming slides. Capital expenditures were $61 million in the quarter, approximately 2.9% of sales, and we would expect a similar range or approximately 3% or less of revenue for 2022. As Tim mentioned, we repurchased approximately 1.8 million of shares for the quarter for approximately $55 million, and we ended the quarter with a cash balance of $335 million and total liquidity of approximately $1.1 billion. Also, as we just announced, we executed a $400 million increase to our existing asset-based lending facility, expanding it to $1.2 billion. This reflects the increase in collateral base due to our volume growth, higher loan values and expected growth in packaging working capital this coming year. This increase positions us well for future capital allocation opportunities. Turning to Slide 8, I'll discuss one of the key factors that influenced our performance. Our results in the fourth quarter were impacted by labor issues that limited our ability to produce its shifts across several of our production facilities. This was driven by a rise in COVID infections that spiked in December than have been declining over the past few weeks. As you can see in the bottom right of the slide, our employee quarantines exceeded peak levels seen in late 2020. As a result of these quarantines, we were forced to idle entire shifts that reduced revenue and adjusted EBITDA compared with our expectations coming into the quarter. We continue to make progress on hiring and retention. And as you'll see on the top right of the slide, we added a net 243 employees in the fourth quarter. Turning to Slide 9, I'll discuss our financial performance in more detail. Revenue increased $676 million year-over-year, primarily due to the impacts of higher aluminum prices and the improvements we are seeing in volume and mix. Adjusted EBITDA was $175 million, up $24 million or 16% year-over-year, primarily due to improved pricing, volume, mix, partially offset by inflation. We are experiencing high inflation, which can no longer be offset by normal productivity initiatives. Savings net of inflation was a negative $35 million, as our $35 million in shop for productivity measures could not offset $71 million in inflation in the quarter, primarily from energy, transportation and alloying materials. Our pricing initiatives are expected to offset this inflation but have a lagging effect. The unfavorable aluminum price impact of $15 million in the quarter is related to the impact of rising metal prices aluminum to the Building & Construction Systems segment, which was offset by pricing in the year. Turning to Slide 10. I'll review our segment performance in more detail. Starting with our Rolled Products segment. Revenue was approximately $1.8 billion, up 24% organically year-over-year, driven by growth across all our end markets. Adjusted EBITDA was $162 million, up $23 million or 17% year-over-year, reflecting stronger prices, volumes, which were offset by cost inflation and the end of temporary saving measures from 2020. Revenue in our Building & Construction segment for the fourth quarter was $261 million, up $25 million year-over-year, up 7% organically. Adjusted EBITDA was $33 million, up $3 million year-over-year, driven by increased price, partially offset by higher aluminum costs and inflation. Revenue in our Extrusion segment was $87 million, down 12% organically year-over-year. Adjusted EBITDA was a loss of 9 versus a loss of 4 last year as aerospace weakness, which has historically been 50% of this segment's sales continues to impact the segment's performance. As we mentioned before, we believe the combination of structural cost actions and aerospace market improvement will drive improvement in the financial performance of this segment. Now moving to Slide 11. I'll review the impacts of aluminum price and manufacturing challenges on our balance sheet and cash flow. As you can see on the chart on the left side of the slide, after a short decline in October, the price of aluminum has returned to record levels. And our outlook for the year, which Tim will discuss shortly, is based on the combined LME plus Midwest premium of $3,700 per metric tonne. Our adjusted free cash flow for 2021 was impacted by the rise of aluminum prices, which drove increases to our working capital throughout the year. As we've mentioned before, aluminum is our largest input cost. And while we pass these changes through to our customers, price changes do impact our net working capital on our balance sheet and our free cash flow when prices move in either direction. For the year, our net working capital increased $364 million. As you can see on the slide, we estimate approximately $250 million of the net working capital increase was related to the precipitous rise of aluminum throughout the year. The balance of net working capital increase for the year was comprised of $40 million related to growth in packaging and industrial markets and approximately $60 million of excess inventory built in the fourth quarter. This fourth quarter buildup of inventory was due to a combination of lower auto calls, increased pivot to industrial markets, the very brief fire that disrupted production at our Tennessee facility and the impacts of increased employee quarantines related to the Covid that we experienced in December. Working capital management remains a top priority. As you can see on the slide, we had challenges in 2021. For 2022, we plan to deplete the inventory build related to the pivot from auto to industrial. We plan to continue to increase production levels as this latest wave of the pandemic subsides and we will be driving buffer management rigor on inventory throughout our production locations. Now I'll hand it back over to Tim.
Tim Myers: Thank you, Erick. Starting on Slide 12, I want to talk about why we're so excited and confident in our expected performance in 2022. First, the core of our business, the Rolled Products segment, has already reached adjusted EBITDA levels greater than where we were in 2019 prior to any pandemic impact. In fact, 2021 adjusted EBITDA in the segment improved 24% year-on-year despite aerospace revenue being down 30% and the North American automotive production being essentially flat with 2020. 2022 volumes are set to benefit from the ongoing ramp-up of the packaging in Tennessee, continued improvement in aerospace and automotive growth as semiconductor availability should ease throughout the year. And looking into 2023 and beyond, we've already announced the capital investment in our Lancaster hot mill that will deliver more than 100 million pounds of incremental capacity on a run rate basis to build on the 2021 and 2022 growth. That's coupled with the other investment we announced in Davenport's casting capacity that will both reduce our costs and lower our greenhouse gas emissions intensity by allowing us to consume more scrap. The 2 combined should add $75 million of annual EBITDA to our results, and we're continuing to evaluate additional under-the-rooftop investments to create capacity in markets that are showing strong demand. Moving to Slide 13. Let's look at some of the end markets driving our future, starting with ground transportation, where we continue to win in automotive. We all know that the global automotive production was hindered throughout 2021 by the semiconductor shortage. While automotive volumes were below our expectations, we still managed to significantly outperform North American light vehicle production on a year-over-year basis. As you can see on the table on the left, our rolled product automotive volumes were up 18% in 2021 compared to 2020. And in that same time period, World Intelligence reports that North American light vehicle production was flat. This is a clear indicator of the share that we're gaining in the segment as we went throughout the year. As semiconductor shortages are expected to ease in 2022, we stand to benefit from a higher level of year-over-year production rates at the OEMs as dealers seek to replenish their inventories. At year-end, North American dealer inventories were conservatively at least 1.5 million vehicles short of typical levels. And we continue to outpace total light vehicle build moving forward as lightweighting drives aluminum adoption and vehicles where we have greater content outpace the rest of the market. We expect this trend to continue and accelerate as aluminum-intensive electric vehicles continue to gain share. Turning to Slide 14. Let's look a little more closely at the automotive wins I mentioned earlier. In 2021, we captured content on 23 automotive or light commercial vehicle programs, more than double the 11 programs we won the year before. They include 8 pickup trucks, 9 SUVs or crossovers and 2 electric last-mile delivery vehicles. And of the 23 programs, 7 are fully electric. On the slide, you can see just a handful of programs where we won content last year. The popular Toyota Tacoma is one of the 8 pickup truck programs we added. We're also excited to support GM on the launch of their all-electric Hummer EV pickup, and we look forward to continue working closely with Ford, providing typical content and more on the all-new all-electric F-150 Lightning pickup truck. We also added flagship SUV programs, including the Wagoneer and the Ford Bronco. And one of the areas earlier highlighted is our participation in the electric last-mile delivery vehicle market. Virtually all of the major commerce and delivery companies are exploring electric vehicles to improve their environmental footprint. We're proud to announce our participation on the GM BrightDrop EV600, which is an all-electric commercial cargo van purpose-built for the delivery of goods and services. We were part of the development process with the OEM, and we're very excited about what this early entrant means for the rest of the commercial electric vehicle market. This is only the beginning as we have content on or are exploring additional opportunity on similar vehicles at different phases of development with multiple existing and potential customers. Across our whole portfolio, revenue associated with EVs is expected to increase approximately 80% year-over-year in 2022 to over $250 million. Moving to Slide 15. I'll discuss the strength we're seeing in the industrial market. Starting on the left hand of the slide, you can see that 2021 aluminum sheet and plate shipments from all U.S. and Canadian producers not only exceeded pre-pandemic levels, which were at an all-time high in 2019, 2021 shipments also increased 11% year-over-year, creating a new all-time high. And while North American demand has largely recovered, production capacity hasn't expanded significantly in our region. So you can see how pricing has responded in the chart on the right-hand side of the slide. Of course, 5052 is an alloy predominantly used in the industrial segment. And prices are responding quicker in that segment of our business because contracts are generally shorter in nature, and the domestic market is also benefiting from a level playing field due to trade actions against China as well as 16 other countries on common alloy sheet. The chart on the right also shows CRU's benchmark common alloy conversion fees by quarter. Our 2021 volumes were mostly booked in the third quarter of 2020 pricing levels. While our 2022 volumes were booked at the pricing levels seen in the third quarter of 2021. You'll notice that there was an increase of over 50% in pricing between those 2 time frames. And that's not to say that we will see a 50% year-over-year revenue increase across the entire industrial portfolio. First, you have to remember the pricing only applies to the conversion fee, which is roughly 1/3 of the total price of a shipped pound of aluminum. Secondly, this is only for our U.S. business, which is about 65% of our total industrial sales and some of those sales are on a 2-year contract. And last, you'll remember that we pivoted some of our automotive capacity to industrial in 2021, which is likely to move back to automotive later in 2022 as the semiconductor shortages ease. This could result in our North American industrial volumes being relatively flat or modestly declining year-over-year in 2022, depending on how quickly the automotive production recovers. Turning now to Slide 16. Let's take a look at that surging packaging opportunity I mentioned earlier. We previously mentioned the strong global packaging demand growth and what that means for can sheet production. Since we announced our North American packaging sales agreements last year, the market has only gotten stronger. The domestic packaging industry is short on can sheet and cans, which has resulted in greater imports of both. In fact, in 2021 through November, the U.S. imported over 13 billion cans, which is up more than 500% from the same period in 2019. Over the next 3 to 5 years, 6 different can makers have announced their intention to install about 30 new can lines in the U.S. alone. Filling the incremental capacity associated with those new can lines is going to require another 1.2 billion pounds of can sheet per year or roughly the annual output of an entire rolling mill. And by the way, the packaging growth is not only a U.S. phenomenon, in fact, in Russia, where we have a very strong can sheet position, can-making capacity is expected to grow by at least 50% from 2021 to 2025, and that doesn't include several other can-making investments happening in some of Russia's neighboring states. As a result, we're continuing to evaluate expanding our sheet capacity in Russia to serve this rapid growth. Of course, that will be somewhat dependent on the situation involving the Ukraine deescalating. And as you'll see later today, we've heightened the related disclosures regarding Russia in our 10-K. Now let's take a look at the organic revenue outlook for 2022 on Slide 17. This slide really underpins the basis for our confidence in delivering another year of double-digit earnings growth. Multiple indicators indicate to expected growth in organic revenue across all of the markets which we serve. Starting in ground transportation. We expect to deliver organic revenue growth of 10% to 15% increase year-over-year, following a 24% year-over-year increase in 2021. Our automotive customers are telling us they expect semiconductor shortages to ease throughout 2022, allowing them to meaningfully increase production from 2021. Commercial transportation sales will also remain strong, but are not expected to grow at the same pace that they did in 2021. Following what I discussed a moment ago, we expect Industrial organic revenue to grow 5% to 10% in the full year after a 27% year-over-year increase in 2021. While demand and pricing are both strong in the market, our year-over-year growth may be constrained by the need to pivot what was industrial capacity in 2021 back to ground transportation later this year. Building & Construction organic growth is expected to pick up modestly to a range of 5% to 10% from 5% in 2021. Nonresidential construction activity is increasing, but supply chain constraints, pricing and labor issues are creating uncertainty for our customers in the near term. We expect packaging organic revenue to increase 40% to 45% as North American can sheet ramps up to full capacity throughout the first half of this year and the facilities in Russia and China continue to serve very strong global markets. This is on top of the 25% year-on-year organic growth we achieved in 2021. And finally, aerospace organic revenue is expected to grow 25% to 35% year-over-year as the supply chain is expected to be destocked this year and OEM build rates are increasing as we speak. We expect our aerospace revenues to reach pre-pandemic levels in the 2024 time frame. Turning to Slide 18. I'll discuss our profitability and free cash flow growth. You remember last quarter we increased the total EBITDA uplift target to $375 million from pre-pandemic levels. This is driven by the investments in Lancaster and Davenport to increase volumes and reduce costs. Both of those projects are already underway and on schedule. With the completion of the packaging ramp-up in the first half of this year, we will have delivered the 600 million pounds of volume growth that we anticipated. The permanent cost-out initiatives are complete, and our overhead costs relative to sales remain more than 100 basis points below pre-pandemic levels. We've realized $80 million in productivity gains on the shop floor, but as we stated last quarter, the impact is being tempered by inflation and pandemic-related crewing challenges. As we overcome the staffing challenges and realize the benefit of the pricing actions we've taken to offset the cost increases such as seen in energy and magnesium, we'll see those productivity savings start to hit the bottom line. And looking at the bottom half of the slide, you can see the impact of the disciplined capital allocation decisions we've made over the last 2 years. Since we became a stand-alone company, we've changed the capital structure, funded and derisked the pension, reduced OPEB spending and paid down environmental liabilities. As a result, annual cash outlays have declined by over $300 million from 2020 levels. Our balance sheet is stronger, adjusted EBITDA and free cash flow are growing and the returns associated with redeploying cash are driving opportunities for additional value creation. Moving to Slide 19. Let's take a look at a few sustainability highlights. As an aluminum manufacturer, we advance sustainability in everything we do from the way we operate to the products we design. We continually seek ways to improve our production processes to reduce energy consumption and emissions while creating materials used in products that are more sustainable than competing materials. You can see on the chart on the left-hand side of the slide that externally sourced scrap in our Rolled Products segment is up 9% from pre-pandemic levels. We're particularly proud of this fact considering that our volumes are only up 1% over the same period. And scrap utilization is expected to pick up substantially in 2022 as we increase can sheet production, which allows for much greater scrap consumption than some of the other products in our portfolio. As we increase scrap use in the Rolled Products segment, you can also see 2 major examples of how our products drive sustainability. First, in the area of automotive applications. Our aluminum sheet is enabling fuel efficiency and range extension by providing light, high-strength solutions. It bears repeating that the revenue associated with electric vehicles is expected to increase 80% year-over-year in 2022, and we're well positioned to help customers advance in this space. Secondly, can sheet is comprised of up to 90% scrap, which makes aluminum packaging a much more sustainable option compared to other alternatives. With packaging revenue expected to grow nearly 50% this year, we're helping our can sheet customers meet the surging demand for the infinitely recyclable aluminum can. Now let's turn to Slide 20 to take a look at our outlook for 2022. Our full year outlook for 2022 revenue is expected to be in the range of $9.9 billion to $10.3 billion. Adjusted EBITDA is expected to be in the range of $800 million to $850 million, and we forecast free cash flow to be approximately $250 million in 2022. You'll notice that the midpoint of the adjusted EBITDA guidance range implies a second consecutive year of 15% growth and is 19% at the top of the range. This is largely driven by the organic growth I discussed and is supported by our North American packaging ramp-up, the expected recovery in automotive and the expecting ramping of aerospace build rates. We continue to experience challenges from inflation, freight, energy and staffing, but we believe these headwinds are temporary, and we've put multiple countermeasures in place to mitigate them. Looking beyond 2022, we're excited about the capital projects that we've announced to drive organic growth in 2023, and we continue to evaluate similar projects to set up the next phase of growth. Wrapping up, here's what I think you should take away from today's call. Looking forward, our end market trends and organic investment strategy continue to support sustainable double-digit earnings growth. We're experiencing a step change in free cash flow, which has created new opportunities for return-focused deployment. And we grew adjusted EBITDA 15% year-over-year in 2021, and we fully expect to do it again in 2022.  So at this point, I'd like to open it up for questions, and I'll turn it over to Andrew to help us facilitate those.
Operator: [Operator Instructions] Our first question comes from the line of Curt Woodworth with Credit Suisse.
Curt Woodworth: So just with respect to the guidance, I was hoping you could kind of talk about some of the drivers between how you see the high end and the low end materializing this year? I know last quarter, you discussed -- you expected to be price/cost positive for the year. But could you just frame that in terms of the magnitude of what you think that price could look like this year relative to what it was in '21?
Tim Myers: I think the key drivers that are going to underpin the uplift in EBITDA price is probably net price increases, I think, would be our largest driver or pretty close to the margin that we expect to get from the can sheet ramp-up. And then we're expecting to see some modest improvements in our Aerospace segment, as it recovers, nice recovery on a percentage basis, but coming off a small base and the automotive recovery. And then the reason for the wide range, I think if you think about the headwinds in terms of uncertainty, I probably put the semiconductors at the top of the list. We continue to hear it's getting better, but we still see a lot of instability there. Labor inefficiency has been something that we kind of fought through in the second half of last year. We saw the impact to our population, I think, peaked in the third week of January. It's been coming down nicely, and we're down about 40% off of that peak already. So I'm hoping that we're putting some of that behind us here as we work our way through the quarter. But we are still ramping up at several facilities. So there's a lot of training costs that will be with us, I think, particularly in the first half of the year as we get to full capacity in Tennessee and we ramp up our plate mill in Davenport to specifically some areas where we've got a lot of staffing going on. I think we've done a good job of pricing up for the inflation, but we're certainly keeping an eye on that. Hopefully, we don't have any other unpleasant surprises like we had with magnesium last year, the big spike in the energy prices that we've seen in Europe. And then the last thing is we do have our contract with the steel workers. Our master contract comes up in May. So we've got some costs associated with getting ready for that and building up buffer stocks and things like that to make sure we're in good shape to protect our customers. So those are some of the things that we're managing through -- that would help you think about the difference between the top and bottom of our range.
Curt Woodworth: Okay. And then I guess just on packaging, the 40%, 45% growth, could you talk a little bit about how much of that would be volume versus maybe conversion pricing uplift? Some of the beverage can companies have been pretty vocal about pretty significant can sheet price increases certainly in Europe and we know that that's going on in the U.S. So if you could just help us maybe understand a little bit about maybe your non-U.S. can sheet kind of pricing and how much of that is renewing this year versus how much maybe is going to reset down the road, would be helpful?
Tim Myers: Yes, sure. So first of all, the revenue increases in conversion revenue and in pound predominantly because a lot of that incremental growth is coming in North America, this is our first year of the contracts we signed. We were happy with the pricing that we got in those contracts. Our contracts in China are more annual in nature, and we're certainly seeing pricing increase in that region as well. And the export opportunity for that facility has been very good. The U.S. isn't the only country that's importing metal, and so we've got lots of options there. And our contracts in the Russian facility are generally 2 years in nature, and I would anticipate that pricing is going to be improving in that part of our business as well.
Curt Woodworth: Okay. And then maybe just lastly, I know it's been a little while, but I think previously, you've talked about normalized EBITDA power for the company, I think closely like $1.1 billion with full recovery in Aero. But since then, even how it's Lancaster and Davenport, which is another $75 million. When we looked at the conversion charge for 5052 alloy, it seems like from the low point, that's up almost $650 per metric tonne. I know there's been some cost increases, but that's pretty incremental to EBITDA. And then you also had comments on the packaging market has only gotten stronger since you initially priced some of those contracts, I guess, call it, a year ago. So do you have any updated thoughts on that? And it seems like the auto thing continues to develop positively as well, just so we can kind of maybe reframe longer-term potential?
Tim Myers: I still have a very, very consistent and optimistic view of the potential of the business. I mean the markets are there. We're hitting the mark on getting the capacity up. The question mark that you have is, okay, will aerospace fully recover by 2024? Let's see. It's making a good move now. Will automotive get back to pre-pandemic levels in the same time frame? That's something we got to look at. And the pricing environment is good. But if this inflation continues on at the rate that it does, there's always a lag of trying to catch up with it, right? Because you pass it through and you got to wait for different commercial relationships or arrangements to timeout and some of those contracts are longer than others. But I still feel like the path we're on is going to have the type of improvement that we've been advertising in our profitability.
Operator: Our next question comes from the line of Josh Sullivan with The Benchmark Company.
Josh Sullivan: Just a question on the capital allocation options. As you rank the rate of returns here, how are the growth capital projects looking? That pipeline, I think you've said in the past -- hit that 25% IRR hurdle. Are customers coming closer to meeting that hurdle or further away and things like packaging and automotive?
Tim Myers: No. I mean the two that we announced were well over 25% IRR. I think we have a similar opportunity certainly in the international packaging market. We've got to make sure there's enough stability in the region that we can put a capital project in and get people in and out. So that timing is something that we're thinking through there. Still see, I think, really good opportunity to put some high return-seeking capital into the North American market. I think right now, the best return profile is probably looking like the Industrial segment, but the other markets are catching up. So I think the opportunity is there and we got to continue to identify the projects, do the capital work, line up customer commitments and there's more to follow.
Josh Sullivan: Got it. And then just more of a clarification question. But on the free cash guidance in the slides for the third quarter, you referenced adjusted free cash, but the slides here for the fourth quarter leave out that adjusted note. You didn't do that for EBITDA. Just curious if there's any dynamics driving that reporting change?
Tim Myers: Yes. We had so much of that obligation when you have a couple of hundred million dollars that you're using to pay down pension and environmental liability, we adjusted that out so that you get a better view of what the business could do without those, let's say, constraints. And now that they've become so much lower, we don't feel there's a need to pull them out of our free cash flow guidance anymore.
Josh Sullivan: Got it. And so is there a pension contribution element to the free cash that you can share?
Erick Asmussen: There is. We put us the slide, the last slide in the earnings deck, we'll give you pension and OPEB cash costs, so you can start to parameter it.
Operator: Your next question comes from the line of Corinne Blanchard with Deutsche Bank.
Corinne Blanchard: Just to clarify actually on the previous question, and I have the deck open, but for the free cash flow guidance, the pension outflow is included, right? It was just like a onetime event for 2021 where you took it out?
Erick Asmussen: The free cash flow guidance includes pension, OPEB, environmental. It is a normal free cash flow guidance in 2022.
Corinne Blanchard: Okay. Great. I mean most of my questions have been answered so far. But just maybe if you can give you a little bit more color on the cost structure like cost pressure that you're seeing for 2022? And maybe around the timing, I mean, you mentioned labor inefficiency due to COVID. Is that -- how do we think about it? Is that more like a 1Q and 2Q? And then anything that you can maybe give some color on it?
Tim Myers: Sure. I'll start with the labor. As I said, it was about the third week of January is when we had the biggest impact in terms of employees under quarantine that we've had from the very beginning of the pandemic. That has come down significantly about 40% over the last 3 weeks. So I'm thinking that, that is going to start to dissipate. Now we're still -- we're ramping up the can sheet opportunity. I think we got to about 40% of our targeted capacity in the fourth quarter. So we're still bringing in people and metal through the first quarter into the second quarter on that. And then we're seeing a very nice trend developing in plate for our facility in Davenport. So that is a relatively people-intensive part of our plant. The plate mill has a lot of stand-alone assets that we have to crew up. So I would think that the first quarter will be the highest of the year and then it will taper down through the second quarter, and we should be getting to pretty full run rates as we go into the second half. So that's how I would think about that. In terms of the inflation, we -- first of all, we're going to start seeing the pricing roll in that we initiated in the fourth quarter. So that's going to help. The 2 that I would say kind of stand out right now is energy in Europe has continued to be elevated because of the issue between Russia and the Ukraine and all the concern around that. And then transportation costs here in North America were relatively high as we opened up the year as well. So in freight market continues to be pretty tight. But I don't think anything else jumps out as being anything different than we talked about last quarter.
Corinne Blanchard: Great. And maybe 1 more question from me. On the Russia/Ukraine, I know you had mentioned looking at some option, therefore, for packaging. Are you still considering it, depending maybe on the outcome? Or is that -- right now, is that not like a top priority for you?
Tim Myers: We're very interested in it. Again, you've got to be able to execute. And right now because of some of the issues that are going on, it's really hard to get visas and -- not just for ourselves, but most of the equipment that we're looking at. A lot of it is in Western Europe. And so we've got to be confident that we can execute on getting the capital put in the ground. And I think we just got to keep an eye on it and see how this thing resolves itself.
Operator: And our next question comes from the line of Timna Tanners with Wolfe Research.
Timna Tanners: I wanted to ask a little bit more to understand the cadence of 2022 EBITDA guidance and what's included in it? It sounds like you're definitely pointing to cost inflation in the first quarter from labor issues. But how much of relief in cost in general is contemplated in your guidance? Like are you assuming -- it doesn't sound like you're assuming continued absenteeism. Are you assuming continued elevated energy costs and transportation? And can you just talk a little bit about the cadence and what's assumed cost-wise in your outlook?
Tim Myers: Yes. I think that we're planning on the cost levels being relatively flat through the year. They're elevated as we opened the year. And so I think if you're thinking through our guidance, we're ramping up packaging as we go through the first half. And so packaging profitability should be better in the second quarter than the first quarter and should be to its full utilization when we get to the second half. And that's one of the big drivers in our uplift. I would say the same thing with the aerospace volume, right? So we're ramping up and putting the labor in already. So I think that labor spend is going to be relatively flat, but I'm not getting the utilization because we're training a lot of employees right now. So you could think of that as kind of a negative labor variance. And then I also think that the semiconductor chips clearly are still a problem, right? And it's more concentrated now. It's not across all of our customers, but we still have significant customers that are having issues. And I'm hoping that, that continues to improve as we go through the year. And so I think from a cost perspective, not a big ramp. It's really catching the volume associated with getting crewed up.
Timna Tanners: But for example, if we think that energy costs are going to roll over, and we think that like freight challenges are going to ease, is that also in your guidance or are you assuming kind of steady-state?
Tim Myers: Yes, steady-state.
Timna Tanners: Got you. And then my only other question was just I know you've talked in the past about a possible dividend and you're going to have with less pension contribution and with the free cash flow guidance optionality. So I know it's kind of been asked, but I'm just wondering like how would you think about buybacks and dividends within the discussion of growth? How do you think about the priorities there?
Tim Myers: Well, I tend to look at it through the rate-of-return lens. So we talked about, okay, it's 25%, if we're going to go after organic capital, when we think about the share repurchases, we're thinking about them the same way, right? And so if we think that the shares aren't reflecting what management is going to deliver, then we're going to continue to look at buying our shares back. The dividend, I think, also represents an opportunity to drive shareholder value. I don't know that it has a 25% IRR attached to it. And we also -- as we're chasing the growth in working capital, a lot of it being driven by metal, we want to make sure that we're throwing off good cash flows when we decide to make a decision like that.
Operator: [Operator Instructions] Our next question comes from the line of Emily Chieng with Goldman Sachs.
Emily Chieng: My first question is just a follow-up around the free cash flow guidance given for 2022. At $250 million, are you able to share what working capital assumption you've embedded that given the alloy price outlook that you're expecting?
Erick Asmussen: So looking at it, we based it on the 3,700 per metric tonne. So you can imagine that's going to be -- it's been a wildcard all throughout 2021, and it will be the same. Our rule of thumb is about for every $100 move is about $20 million, depending on whether it goes up or down. So Emily, that's going to be the biggest wildcard in cash flows. As far as other assumptions on working capital, we have assumed a working capital build at that $3,700 rate for the packaging ramp. So you can imagine what Tim just described as the packaging ramp we'll see through Q1 to Q3 is going to be a use of inventory and build of working capital. We'll have the offset to some extent with the $60 million that we built in Q4. So we still expect there will be a net working capital increase and that's built into our cash flow guidance.
Emily Chieng: Understood. That's very clear. And then my second question is just around [indiscernible]. Can you remind us what are sort of the clauses or mechanisms in your pricing contracts that do allow you to perhaps explicitly recover higher alloying metal prices or labor or energy costs there or is it more of a broad-based inflate of?
Tim Myers: It really varies by market. There typically is going to be a PPI indicator. Look I mean -- we'll start with the Industrial, they have the shortest contracts. We typically do annual contracts and then backfill available capacity with spot. In there, we generally just bake it into the annual price and -- we also -- as you'll recall, we had a problem with magnesium, so we put a surcharge in place. So if we see something that really goes sideways throughout the year, that's how we would think about that market. Our automotive contracts, all the automakers allow for some sort of an index, that index is going to be different customer by customer, but typically energy they're paying for the transportation in most cases is going to be in there just general inflation, some kind of PPI index is going to be there. I'd say the aerospace contracts behave very much the same way. In a market like that, we do have more alloying elements. So it's going to be more typical that those are called out separately as part of the index as well. So it's not a one size fits all, but we do have protection with -- in all of our end markets.
Operator: And I'm showing no further questions. I'll now turn the call back over to Tim Myers for any closing remarks.
Tim Myers: Okay. Well, again, thank you very much for joining us today. I enjoyed the opportunity to discuss the business. As you think about us in closing, just a few thoughts; again, first of all, we delivered 15% year-on-year EBITDA growth in 2021. We're guiding to another 15% year of EBITDA growth in 2022, and we're setting the table for some sort of similar performance in 2023. We've been very, very focused and disciplined on strengthening our balance sheet. And with the free cash flow that we intend to generate, we're looking forward to continuing to create value for all of our shareholders. We'll talk to you next quarter.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.